Operator: Good morning, ladies and gentlemen. Today is Friday, September 16, and welcome to the Butler National Corporation First Quarter Fiscal 2023 Financial Results Conference Call. [Operator Instructions] 
 Your call leaders for today's call are David Drewitz, Creative Options Communications; Clark Stewart, President and CEO; and Craig Stewart, President of Aerospace Group. I would now like to turn over the call to Mr. Drewitz. 
David Drewitz: Thank you. And good morning to everyone. Before Mr. Stewart begins, I would like to draw your attention to, except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the safe harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. .
 Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results in future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise, the introduction of competing technologies by other companies; new governmental safety, health and environmental regulations, which could require Butler to make significant capital expenditures. 
 The forward-looking statements included in this conference call are only made as of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with the Securities and Exchange Commission. 
 So with that with that completed, I would like to turn the call over to Clark Stewart. Mr. Stewart, it is all yours. 
Clark D. Stewart: Thank you, Mr. Drewitz. Good morning, ladies and gentlemen. Thank you for taking your time to listen to us on this call and discuss the status of Butler National Corporation. I would call your attention to Page 15 of the 10-Q where those risk factors are itemized in one extensive list, and you should review those when you have your time. 
 The quarterly results are good, in my mind, given the condition of the supply chain, the employee market, the inflation causing labor costs to increase. And we do have a good cash position, and things look good here at Butler National. 
 Just to give you a review of the earnings per share, the quarter ended in 2020, we had 0; quarter ended in 2021, we had $0.04; quarter ended in 2022, we have $0.01. For the year -- for the quarter ended in April, in 2020, we had a loss of $0.02, '21 we had $0.01 positive, and '22, we had $0.04 positive. To give you a reading on our employee status, we have about 307 to 310 full-time employees, 62 to 65 part-time employees. So about 370 employees on payroll. 
 Our backlog status is about $23 million. Last year, that was $24.1 million. subsequent to July 31, we have received more orders and the backlog and is little stronger. So we're really pleased with that. And if you look at the history, that's pretty much what's happening with backlog. Component shortages have caused some problems in the electronics part of our business. We've had to redesign boards to replace components due a number of things that had, had we not had supply chain problems and availability, we would not probably have never done that, no. That doesn't mean that's bad. We probably improved ourselves with better supplies. So that is the reason we have some fluctuations in the revenue and in the profitability because we've lost some production time in a couple of different occasions where we had to redo the computer boards that run the systems. That's about all I have to say in summary. Craig, did I miss anything? 
Craig D. Stewart: The one thing I'd point out as well is that the first quarter last year had the PPP loan in there as well. If you -- so it's -- in comparison, it's not quite as bad as it looks. I think if you'd add -- if we hadn't had the component shortages and then the other side of it is looking forward, I think with the orders we're getting at Avcon and what's come through, a lot of cash deposits, but we didn't have a lot of earned revenue in that period. But I think that will -- you'll see that come through in second and third quarter pretty strong. 
Clark D. Stewart: So I think, David, we're ready for questions if we... 
Craig D. Stewart: Sports betting. 
Clark D. Stewart: I forgot to talk about sportsbook. I almost missed the biggest exciting event we have, and that's the sportsbook in the state of Kansas. We have agreements with 3 vendors. Is that correct? We have agreements with DraftKings, Golden Nugget and Bally's to provide support to our casino in Dodge City, or through our casino in Dodge City.
 We have the right to do marketing locations, which we haven't really got fully defined at this point. But up to 50 of those and 20% of those have to be fraternal type organization like the Elks and the American Legion and those types of nonprofits. So we can expand that reach out to other locations as the requirements get defined. 
Craig D. Stewart: Yes. Pretty exciting time in Kansas for sports wagering, and we are really pleased with our basic partners that we have. Tracking is really stepped up and helped us be incredibly successful on the launch of sports betting that's owned and operated by the Kansas Lottery, but managed by us. 
Clark D. Stewart: We've had minimum -- almost no problem with software of DraftKings, on the setup and on the go to Kansas, it's georeferenced to the boundaries of the State of Kansas which means you can drive across the line and your sportsbook goes off. If you come back into Kansas, it comes on. So it's a pretty neat deal, and it does work and it's accurate. We're really pleased with it. They've spent a lot of time with this and done a good job of getting it under control. So we should have a major share of the market in the state of Kansas with DraftKings and Golden Nugget Bally's together. So  that's where we are on sportsbook. 
Craig D. Stewart: We're also looking for -- we should have the temporary retail sportsbook open out of Bizzo Casino by the end of September, first October time period. And then looking towards the end of the year of having the permanent line open. End of the year, first part of 2023, we should have the permanent sportsbook open. So it should be -- it will be kind of a face lift a little bit one of the casino space out there, but it will be exciting. 
Clark D. Stewart: Thank you. I think now we're ready for questions. Sorry about that. 
David Drewitz: Excellent. Worth the wait. All right. Let's open it up to questions. 
Operator: [Operator Instructions] 
 Our first question comes from Mr. Daniel Zeff at Zeff Capital. 
Daniel Zeff: Thanks for clarifying the backlog strength and stuff like that and the prospects moving forward. Can you give us some more detailed economics, whatever you're able to tell us of the sportsbook betting situation? Who gets what and when will it  -- and will it contribute to the bottom line, all things being equal? 
Clark D. Stewart: I'll give you my best guess, how's that? And it's basically the state gets 10% of the profit from the sportsbook side. 
Craig D. Stewart: And then we share with our sports betting partner a confidential amount less than that. And as you might guess, the sports betting partner provides us with turnkey solution. As far as predicting out what comes out, it's pretty early to be able to forecast exact numbers what we're doing, but we believe that not only will add financial numbers to our situation from sports betting directly but also indirectly once we get the retail open to draw new customers and patrons in for other activities in the gaming facility. 
Clark D. Stewart: I can give you some history here. 2, 3 years ago, we made a dollar bill chart that was presented to the legislature. When all the dust settled, we ended up with probably 5% to 6% of the dollar bet. There's  dollar one, I should say. That's really where -- that's really the profitability of the overall sportsbook. And that's at least -- that's public information that we provided with the legislature. The 4 casinos filed that. So that's probably pretty representative of what it is. 
Daniel Zeff: Can you give us a bigger picture -- also a question I have that is, do you have opportunities to grow inorganically? In other words, M&A on either side of your business? And is this something you're thinking about or looking at? And are there real opportunities or can you grow organically or both moving forward? 
Craig D. Stewart: I think the goal has always been to do both. I know that we are looking right now of trying to grow both inorganically and organically both the casino side of the house and the aviation side of the house. We've just got to be strategic in any acquisitions that might come up and make sure they're good fits. We don't want to be I guess, reckless in the way we go out and look for acquisitions. There got to be a good fit and be accretive to the business. So that's kind of where we are, but we are Yes, we are looking to grow the company both organically and inorganically. 
Clark D. Stewart: The answer there is, yes, we will look at anything that you'd like us to look at. Send us a message and we'll check it out.  We are actively doing that. I'm just telling you don't -- if you see something you think we ought to be looking at, let us know. 
Operator: [Operator Instructions] It looks like we have no further questions at this time. Mr. Stewart, do you have any closing remarks? 
Clark D. Stewart: Thank you, Mr. Drewitz, and again, I thank you all for taking your time this morning to review and listen to our discussion of what we're doing here at Butler National. We are very, very positive and I think we're moving in the right direction. And like I say, any suggestions that anyone has, please send them forward, and we'll look at them and see if we can grow this company outside of the business. Thank you very much. I appreciate all your help. 
Operator: Thank you, everyone. This concludes today's Butler National Corporation conference call. Thank you for attending.